Operator: Good day. And welcome to the First Quarter Fiscal Year 2017 Earnings Conference Call. All participants will be in listen-only mode. [Operator Instructions]. After today's presentation there will be an opportunity to ask questions. [Operator Instructions]. Please note this event is being recorded. I would now like to turn the conference over to Chris Gough, Vice President, Investor Relations. Please go ahead.
Chris Gough: Good morning everyone and thank you for joining us for Edgewell's first quarter fiscal 2017 earnings conference call. With me this morning are David Hatfield, our President and Chief Executive Officer and Chairman of the Board, and Sandy Sheldon our Chief Financial Officer. David will kick off the call then hand over the call to Sandy for earnings and outlook discussion, followed by Q&A. This call is being recorded and will be available for replay via our website www.edgewell.com. During the call we may make statements about our expectations for future plans and performance. This might include future sales, earnings, advertising and promotional spending, product launches, savings and costs related to restructuring, changes to our working capital metrics, currency fluctuations, commodity cost, category value, future plans for return of capital to shareholders and more. Any such statements are forward-looking statements which reflect our current views with respect to future events. These statements are based on assumptions and are subject to various risks and uncertainties. Included those described under the caption risk factors in our Annual Report on Form 10-K for the year-ended September 30, 2016. These risks may cause our actual results to be materially different from those expressed or implied by our forward looking statements. We do not assume any obligation to update or revise any of these forward looking statements to reflect new events or circumstances. During this call we will refer to certain non-GAAP financial measures. These non-GAAP measures are not prepared in accordance with Generally Accepted Accounting Principles. A reconciliation of the non-GAAP financial measures to the most directly comparable GAAP measures are shown in our press release issued earlier today, which is available in the Investor Relations section of our website. Management believes these non-GAAP measures provide investors valuable information on the underlying trends of our business. With that I would like to turn the call over to David.
David P. Hatfield: Thanks Chris and good morning everyone. Before Sandy takes you through the results I'll briefly comment on a few highlights in the quarter, on our priorities and on our outlook for fiscal 2017. From an operational perspective we had a solid start to the year. We’re competing well in the Wet Shave and Sun and Skin Care despite an intense competitive environment and we're making solid progress on our zero base spending initiatives. Like many other companies where we are facing increased macroeconomic uncertainty including additional headwinds from the strengthening U.S. dollar. However, we are encouraged by the performance of our manual shave business particularly in North America. In a category facing many forces of change, along with in intense competition we've maintained our focus on the four key strategies delivering ongoing innovation, leveraging and expanding our full portfolio, expanding internationally, and investing against growth brands in the channels. We saw positive results from those strategies in this past quarter. We gained share globally in the manual shave with solid improvement in most of our largest international markets, as well as in the U.S. We grew sales and gained share in the U.S. men's and women's systems benefiting from branded and private label distribution gains. We gained share in disposables in our core brands extreme three and hydro as well as in private label. Our private label offerings continue to grow and gain share behind several U.S. customer private brands and behind the fit smart three proposition generally. We're getting good results in non-measured channels including online where we continued to gain share in omnichannel and in pure play retailers. And we're excited about innovation coming to the market this quarter. For example just take our actions in the women shave, in a women systems we're launching the next generation Hydro Silk with Hydro Boost Serum. We're also launching Quattro U a great performing mid-tier women's disposable product and we are rolling out new improved, more impactful packaging across our women's product line. As we look to the remainder of the year I'm confident we're using all the levers at our disposal to drive top line growth and improve operating margins in align with our algorithm. These levers include ongoing performance in the North America Wet Shave and expected return to solid growth in the international Wet Shave in the back half of the year. Continued international growth in Sun and Skin Care, new innovations across our product lines, the integration of the Bulldog acquisition into our portfolio, and our ongoing cost reduction and productivity work across the enterprise. Taking all those factors into account we are maintaining our organic net sales outlook for the year at a low single-digits and we are maintaining our outlook for adjusted EPS in the range of $3.80 to $4 per share. Thanks. And with that I'll hand it over to Sandy.
Sandy J. Sheldon: Alright, thank you David and good morning everyone. Net sales in the quarter were 485 million, a decrease of 2% on a reported basis and 2% on an organic basis as the incremental net sales from the acquisition of Bulldog closed early in the first quarter offset the negative impact of currency. In Wet Shave volume growth in North America razors and blades was more than offset by declines in shave preps in international Wet Shave. Sun and Skin Care net sales were up driven by international volume growth and feminine care volumes declined in the quarter. I’ll review more details of the drivers from a segment perspective in a few minutes. From a geographic perspective North America organic net sales were flat with the prior year and international organic net sales declined 6%. Gross margin increased 100 basis points primarily due to lower material costs, incremental restructuring savings, and favorable transactional foreign exchange partially offset by higher start up costs related to the feminine care production consolidation into Dover, Delaware. A&P expense was 50.6 million in the quarter, an increase of 4 million or a 100 basis points as a percent of net sales led by higher planned spending in support of our feminine care and Sun and Skin Care segment. SG&A expense was 94 million or 19% of net sales. Prior year SG&A was 100 million or 20% of net sales which included 7 million of spend related costs. Excluding the impact of the spend related costs SG&A was relatively consistent with the prior year. Other income was 2 million generally in line with the prior year results, and primarily reflecting the impact of a net gain from hedging contracts. Interest expense was relatively flat and the effective tax rate was 25.4% versus 22.8% in the prior year. Excluding tax associated with restructuring expenses the effective tax rate was 26.3%, a 140 basis point decrease from the prior year due to more favorable mix of earnings and lower tax rate jurisdictions. GAAP diluted EPS was $0.58 in the quarter as compared to $0.39 in the prior year due to lower restructuring and spend cost this year. Adjusted EPS for the quarter was $0.66 relatively in line with $0.68 in the prior year quarter. Net cash used by operating activities was 59 million in line with the prior year and reflects the ongoing seasonality of the business primarily in Sun Care as well as the timing of payment of year end accrued expenses and interest. We continue to estimate positive operating cash flow for the full year and free cash flow to exceed 100% of GAAP net earnings. We completed share repurchases in the quarter of approximately 800,000 shares for $58 million. And as a reminder we paid down international debt by 277 million early in the first quarter which we discussed in our yearend earnings and financial disclosures. And finally we acquired Bulldog Skin Care early in the first quarter for 34 million which is reflected in our cash flow statement. Now turning to segment results, Wet Shave organic net sales decreased 8 million or 2.4% largely driven by a $7.5 million volume decline in shave preps. The largest driver of the decline in shave preps was in North America where we are impacted by planogram losses in a major customer in Q2 of 2016. This is the last quarter impacted by these losses. Over the last three quarters the impact was largely offset by new listings in a major club customer gained in the first quarter of fiscal 2016 that we have now anniversaried. Overall organic net sales for Wet Shave in North America were up 4% driven by higher volumes and share gains in men's and women's systems partially offset by the decline in shave preps. International organic net sales declined 8% primarily driven by lower volumes in both men systems and shave preps in part due to timing of shipments related to an upcoming price increase in Japan. Organic Wet Shave segment profit increased 4 million with improved gross margin driven by lower material costs, favorable transactional foreign exchange, and restructuring savings. As measured by Nielsen, the U.S. manual shave category was down over 6% in the latest 12 week data with declines in men’s systems and disposables. Men's manual shave was down nearly 9%. But when factoring in non-measured channels we believe the U.S. men's category was down approximately 3% and the overall category was down around 3% as well due to men’s and disposable stock xAOC. From a share perspective globally we're competing well gaining share in key non-U.S. markets as well as gaining share in the U.S. Versus a year ago our U.S. share was up 160 basis points in manual shave driven by market share gains in men’s, women’s, and disposables. Now that our U.S. corporate branded share results continue to be impacted by a transition of our opening price point value branded product offering in a major retailer to a private label product line. Sun and Skin Care net sales increased nearly 8% including the incremental impact of the Bulldog acquisition. Organic net sales increased about 2% in the quarter driven by volume growth in Latin America. North America organic net sales declined 2 million to do a shift in the timing of shipments between quarters compared to a year ago. As well as the company's decision to exit the private label sun care business. The first quarter net sales impact from exiting the private label business was about 1 million with an estimated impact of 9 million for the full year. Organic segment profit decreased 0.3 million driven primarily by higher planned A&P spending partially offset by restructuring savings. Keep in mind the fiscal first quarter is seasonally a low point for Sun and Skin Care sales and profitability. Within the U.S. Sun Care category consumption was up nearly 6% in the quarter with our share roughly flat. As a quick update on Bulldog we are pleased with the financial and market share results in the quarter, as well as the commercial plans the team is putting in place over the balance of the year. Integration is progressing well with back office activities underway in international expansion plans in development. Feminine Care organic net sales decreased 3.4 million or 3.7%. Sport branded pad and liner volumes were down approximately 2 million due to distribution losses which are expected to continue through the balance of the year. Tampon net sales were also down due to competitive pressure and soft consumption in the year. These declines were partially offset by higher volume in Stayfree pads and Carefree liners. Feminine Care segment profit decreased 9.3 million driven by increased product cost, higher A&P spending, and lower volumes. Product costs were unfavorable as only 7 million in production start up costs related to the transition of manufacturing to Dover Delaware were only partially offset by restructuring cost savings and lower material costs. These startup costs are expected to impact segment profitability for the next two quarters. Overall the Feminine Care category was down slightly by 0.5% and our market share was lower by 0.7 points. While each segment declined due to weak consumption trends and distribution losses, we are holding share and sport tampons and Carefree liners. But the sport brand of pad and liner net sales are anticipated to decrease for the remainder of the year, we have plans in place to continue to invest behind our core brands, sport tampons and Carefree liners as well as launch innovation in sport tampons. In our all other segment which is primarily Infant Care organic net sales decreased 0.5 million or 1.5%. This was the fifth consecutive quarter of organic net sales growth in our Diaper Genie business. The turnaround in the Diaper Genie business has been critical in stabilizing Infant Care top line and profit. Now I'd like to turn to our outlook for the full fiscal year. As David mentioned upfront we continue to see macro economic uncertainty, competitive pressure, and currency volatility. We aren’t immune to the impacts of these but, based on the results through the first quarter, current spot exchange rates and what we know today we are maintaining our previously stated outlook for organic net sales and adjusted EPS. Let me comment for a minute on the impact of currency. Based on current spot rates negative foreign currency translation effects on net sales are now expected to be 35 million or 1.5%. With a significant amount of effort and focus across the company dedicated to driving productivity and cost savings, we expect to be able to mitigate the current estimate impact from currency on the bottom line. While we will continue to take a balanced approach to investment in the business for the long term and margin expansion in the year further unfavorable changes in currency may impact our current outlook for adjusted EPS and adjusted operating profit margin. For the full fiscal year 2017 we estimate that organic net sales will increase low single-digits and we now estimate the reported net sales will be in the range of flat to up 2%. This includes an estimate of 150 basis point headwind from currency and an estimated 50 basis point benefit from the Bulldog acquisition. Our GAAP EPS outlook is in the range of $3.60 to $3.80 and our adjusted EPS is estimated to be in the range of $3.80 to $4. Adjusted operating income margin is anticipated to expand by 50 basis points. The effective tax rate for the fiscal year is estimated to be in the range of 27% to 28%. The full year estimate for restructuring related costs is 20 million to 25 million in fiscal 2017. Incremental restructuring savings are expected to be approximately 20 million to 25 million in 2017 and an additional 20 million to 25 million in 2018 and 2019. The Feminine Care production move to our Dover plant is two to three months behind schedule and as a result project costs have increased and some anticipated savings will be pushed back into 2019. The rest of our restructuring projects related to Wet Shave and Sun Care footprint changes are tracking on schedule. Let me wrap up by addressing our zero base spend initiative. The project is progressing well and on a preliminary view we have estimated that we can deliver 35 million to 45 million in net savings over the next two years. Savings will begin in the back half of fiscal 2017 and our current outlook incorporates preliminary net savings estimate for 10 million to 15 million in fiscal 2017. As we mentioned in our previous outlook, we anticipate that net sales and earnings growth will not be uniform by quarter. Due to the timing of ongoing strategic investments, product launches, shipments and pricing actions, restructuring savings, and A&P and trade spend we expect organic net sales to be down to the first half of the fiscal year with growth in the second half of the year. Additionally we expect adjusted EPS for the first half of fiscal 2017 to be down mid single-digits compared to 2016 with growth in the second half of the fiscal year. Coming into the year we said we would take a balanced approach with respect to investment in the business and delivery margin expansion. Based on the current outlook for our core segments Wet Shave and Sun and Skin Care as well as our CBS initiative and restructuring projects, we believe we have the levers in place to overcome the additional currency and the Feminine Care headwinds and meet our financial objectives for the year while maintaining our investments and competitiveness. Thank you. And with that will open it up for questions.
Operator: [Operator Instructions]. The first question comes from Bill Schmitz with Deutsche Bank. Please go ahead.
Chris Gough: Operator, maybe we'll go back to Bill.
Operator: Of course, our next question comes from Ali Dibadj with Bernstein. Please go ahead.
Ali Dibadj: Hey guys, a couple of questions actually. One is, just from a top-line perspective, clearly disappointing, certainly relative to consensus on organic basis and you talked a little bit about it, but can you help us quantify and really understand precisely what caused some of the issues between kind of macro, which you mentioned, competitive situation or company specific factors. And then, as you think forward, which of those do you really expect to get better? Is it just some of these one-time company specific stuff or what do you expect to get better and are you seeing any signs of that yet? That's my first question.
David P. Hatfield: Okay. Good morning. You know, it was a little bit of a soft and soft quarter. We actually saw some of it coming. We were going up against some relatively strong year ago comps. We saw a timing of several international programs, that were off cycle in Fem Care. We saw some distribution losses in the shave prep by one quarter misalignment. We are all factored into our forecast for a flat quarter. We actually came in softer than that and that was really due to three things, one is it is the timing of our U.S. Sun’s shipments to a major customer. It was pushed out. So that will come back in the Q2. The second factor was that Fem Care suffered more than we thought due to facing losses and to listing losses. We don't see that coming back short-term. So I think Fem Care is going to be somewhat softer for the year than we thought. And the third shortfall versus the flat outlook was really associated with the price increase we're taking in Japan. Shifts in the timing of the shipments associated with the managing retail inventories and returns meant that we came in somewhat softer than we planned for Q1. That should come back in the back half of the year. So there were some puts and takes I think the first and the third factors will come back. I think Fem Care will be somewhat soft for the year. On the positive side I think that we're seeing better than planned trends in Wet Shave behind emerging markets and those distributor markets where we change go to market. They're up 12% and we see strength there and in Latin America generally.
Ali Dibadj: So just to clarify, on Wet Shave, except for Japan, even with the competitive pressure you described before the ship-to private-label, it doesn't seem like that anything else was a surprise except for Japan as a follow-up? And then just you say, excluding spin-related and restructuring costs, SG&A as a percent of sales was flat year-on-year, and so I'm just trying to understand a little bit more about where ZBS is actually working? So thanks for those.
David P. Hatfield: On your top line question I think that's generally true. You get it from a shave point of view it was mainly Japan that was softer than our outlook and then…
Sandy J. Sheldon: Yes, on SG&A we're relatively flat in the quarter. Our ZBS savings we anticipate will be much more backend loaded in the year. However we did have some come through this quarter but they really were offsetting some of our higher investment spending in the quarter. So we continue similar to what we had last year to invest between -- behind IT systems. Some of our marketing and e-commerce initiatives, as well as obviously the investment we’re putting in to implement ZBS. So for the most part the investments were mostly offset by some of the smaller incremental ZBS savings we’re starting to see this quarter.
Chris Gough: Okay. Thank you, Ali. Operator next question please.
Operator: Our next question comes from Olivia Tong with Bank of America. Please go ahead. Olivia Tong, please go ahead. We'll move on now to our next questioner. Our next question comes from Jason Gere with KeyBanc Capital. Please.
Jason Gere: Okay, thanks. Hey guys, two questions. One, I guess you're talking about the innovation, it seems like it's more second half weighted so I guess I want to know a little bit more about the on the women shave. The innovation that's coming or are you getting incremental shelf space, is it replacing any old legacy brands so that's kind of the first question if you could just talk about the cadence of the innovation and whether there is incremental shelf space to come in the second half on that?
David P. Hatfield: I think there's -- that the Hydro Silk which is the next generation of our current Hydro Silk product, I think that will be more of a replacement of our current facings. We think that it is a great product, the market was testing results indicate that consumers raise purchase interest scores and they use -- and used testing has been very solid. But that should be just an upgrade on our current facings. I think that the Quattro U product where we are hoping that it again facings within several major customers.
Jason Gere: Okay, great. And then I guess the follow up question I guess in favor during this earnings season is talking about the Trump administration, the border tax, just knowing a lot of your assembly and product comes from overseas, can you just talk about what percentage is manufacture -- I guess of your product or what sold in the U.S. is manufactured from abroad and how do you guys have this conversations, thus far I know there's still a lot of moving parts to it but how you guys think about it initially? Thanks.
David P. Hatfield: Yeah, thank you. We are of course are really monitoring the situation and are kind of actively scenario planning but, you're right, right now the details matter in these topics. And the variances of policies that are out there are really pretty fluid. And you really need to know the details below the headlines to assess impact and the reaction from the world. So I can't really speculate on where this is going at the moment. We are really monitoring it. On the tax policy side there is many scenarios that say that the lower tax rate or the repatriation would be a positive to us. But again we don't really know the details. And on the border tax or the import tax or whatever we'll have to see kind of where that shakes out. We do have a global supply chain and we do import finished goods into the U.S. but I'll make the point that, that the great majority of our production footprint for the U.S. is in the U.S. We have major razor plants in Milford and in Knoxville and those are and we grind the vast majority of our blades in those two plants. We have a Sun Care plant in Florida. We make shave preps and that one is in the U.S. and we're in the process as you know of the moving all of our Canadian Fem Care production lines to Dover, Delaware. So I say that the great majority of our U.S. products are made in the U.S.
Jason Gere: Okay, great, thanks for the color.
Chris Gough: Thank you Jason. Operator, next question please.
Operator: Our next question comes from Kevin Grundy with Jefferies. Please go ahead.
Kevin Grundy: Hey, good morning guys. I’m going to apologize, I just hopped on. I was on another call. But going through the release this morning and we put our initial thoughts out, is it fair to say that you're targeting more the lower-end of the range just given organic sales came in a bit lighter, than you had guided to and market expectations. And now FX back in that napkin mass sort of assuming reasonable transactional impact would suggest about a $0.10 to $0.15 sort of headwind. So on both counts there, both with respect to the organic sales growth and the EPS guidance range are you more comfortable at the lower-end of the range or what has to go right for you to attain the higher-end of the range? Thanks.
David P. Hatfield: If we're holding to the organic rate in the range that we gave you because most of the softness versus our outlook were timing issue. Like I mentioned the U.S. Sun shipment timing is a timing issue and should work its way out in the Q2 and the softness in the timing of shipments around the Japanese price increase we think would also come back in the back half of the year. We think of the Fem Care softness is a little more systematic but we see puts and takes in international Wet Shave that we can hold to that -- to the organic outlook and then Sandy…
Sandy J. Sheldon: Yes, and then just on EPS, you're right we are facing those currency headwinds. We are able to offset some of those that are hedging programs which cover some of the impact obviously, not of it. Based on where the rates are now we expect we can manage the remainder with our cost levers especially ZBS. But clearly if the dollar continues to strengthen that may impact our outlook.
Kevin Grundy: Okay, thank you.
Chris Gough: Thank you, Kevin. Operator, next question please.
Operator: Our next question comes from Bill Chappell with Sun Trust. Please go ahead.
Bill Chappell: Thanks, good morning. Two questions and I will throw them both at the same time. First, can you help me clarify the Japan price increase cause I would have thought that, that normally would accelerate sales as retailers and distributors were buying in front of a price increase, so I didn't really understand why it would postpone sales?
David P. Hatfield: Alright, so you want me to take that right now. Yes, that's a good question and a natural one. Japan as you may know is a pretty complicated and is done -- business is done fairly differently there. This price increase is a pretty major undertaking in which we ship new UPC skews and we take back the existing ones, and we refurbish them and we sell them later. So to implement the price increase in this quarter we're actually trying to run down retail inventories because the next quarter we will take the product off the shelf and then replace it with the higher product over that quarter and the next one. That is a big positive for us but you have to go through that. So what happened this quarter is that we actively manage down retail inventories to kind of minimize the returns that we have to do coming up now.
Bill Chappell: Okay, that makes more sense. And then, on the private label Sun Care, I know it is relatively small, but the decision to exit that, I guess is that excluded from your organic growth going forward in your calculations? And then also, is there maybe some reasons for getting out of that when razors and other categories are kind of pushing further into private label, what was kind of the thought process behind getting out of this one?
David P. Hatfield: Yeah, we look at that for several years, looking at the margins and the cost and the plant absorption and the retailer relationships. But the fact today is the margins were very low. The complexity it was pretty high and the organizational effort to properly support customers was well over what the economic value was. So we tried over years to find ways to make it a better business but it just wasn't so. So, we worked with our customers to exit in an orderly way. So while we suffer the loss of top line there's no real margin impact and it really simplifies operations, simplifies focus. So, at the end of the day it was a pretty easy decision. It just took time to work with our customers to get out of it
Sandy J. Sheldon: And it is built into our organic outlet.
Bill Chappell: So the growth is, including that, kind of going away?
Sandy J. Sheldon: That's correct yes.
Bill Chappell: Great, thank you.
Chris Gough: Thank you, Bill. Operator, next question please.
Operator: Our next question comes from Kate Brathstein [ph] with Barclays. Please go ahead.
Unidentified Analyst: Thanks. My question is on price mix. So last year price mix was a benefit to gross margins and I believe it should be this year as well, but I'm wondering how this could be the case when you're starting to see promotional intensity pick up in Wet Shave, not just in the U.S., but perhaps in spots internationally? And then, if price mix is still a positive, why shouldn't operating margins be up more than 50 basis points? Thanks.
David P. Hatfield: Sandy, why don't you take the price mix and then I might comment a little but about the promotional environment.
Sandy J. Sheldon: So most of our organic sales growth this year is really volume based. We're not seeing necessarily -- we're not eroding price over the year versus what we had last year but we're really not improving it significantly either. We clearly as David just talked about have a price impact on Japan. So there is that pulling through our numbers but the rest is we're seeing price mix relatively neutral for the year other than that. So it really is predominately a volume organic story.
David P. Hatfield: And your comment about the promotional intensity, I would make the point that in Wet Shave it isn’t uniform and it really varies both by market and by product line. While there is some hot spots around the world, generally promotional levels seemed to be reverting back down to more normal levels. I think the one area that I'd call out is the one that everyone seems to look at which is U.S. men's. Men's Systems where despite their dominant share of P&G continues to do promotion levels that we've never seen up to 40% of its volume done on promotion. Given the category loyalty and their size what that's really doing is trading down the overall category and their share. My guess is they're doing it more against the shave clubs but it's primarily just a U.S. phenomenon and I think that generally around the world promotional levels are kind of going back to more normal levels and that's kind of what's built into our product mix.
Chris Gough: Thank you, Kate. Operator, next question please.
Operator: Our next question comes from Jonathan Feeney with Consumer Edge Research. Please go ahead.
Armani Khoddami: Hi, how are you doing? This is actually Armani Khoddami calling in for John Feeney today. Just a quick question, looking at sort of private-label business in Wet Shave, I think the main concern or question when you guys were swapping branded disposables, was sort of the all-in contribution margin of that business and as we are sort of now annualizing that, I suppose maybe could you help us understand that similar question on contribution margin in private-label cartridges, now that’s sort of the new non track or non branded core private label going forward? Thank you.
David P. Hatfield: Well two different ways to answer is first, certainly private label prices are lower than branded. Therefore while there are different products in our lower cost products generally than branded they do have a lower gross margin but they require less. There are no -- very little in A&P and when you allocate you have the proper overheads against them and what not. We feel comfortable that the contribution margin for a private label is very similar to our overall average contribution margin. And in that swap that we did between opening price point products in that major customer, if you take that contribution margin versus private label they're very, very similar. So that swap really didn't impact our economics negatively at all.
Armani Khoddami: And just one quick follow-up, you were saying that they're generally the same on the overall company average, or overall average for Shave, the private-label cartridges?
David P. Hatfield: Overall company average.
Armani Khoddami: Okay, great. Thank you very much.
Chris Gough: Great, thank you. Operator, next question please.
Operator: The next question comes from Olivia Tong with Bank of America. Please go ahead.
Olivia Tong: Great, thank you. Apologies, I got on late. But I wanted to talk a little bit about advertising spend and just the efficiency of that because it was up pretty robustly, but it doesn't look like it really impacted your top line. So can you talk about where that spends was concentrated both in terms of product areas and geographies? And also, do you consider your spend to be more offensive behind innovation, trial building, or more defensive as you see actions of some of your main competitors you just talked about, unprecedented levels of promotion? And also what do you expect for the year in terms of advertising relative to sales? Thank you.
David P. Hatfield: Okay great. We view the advertising primarily as offensive and it generally flows against innovation. So that's one of the reasons that you see it varied by quarter somewhat because it does tend to skew along with new product launches both U.S. and also internationally. So that's kind of how we view it. I think for the year we’re looking at a relatively flat sales percentage versus year ago. What varies from year-to-year is how much we had to vote against digital versus TV. And it's kind of interesting because it has certainly gone up. It has tended to go more digital over the years. We've seen that slow and even reverse. As we're sorting out the ROI against digital and I see that the industry several major advertisers are calling for better regulation and better transparency on the digital front and I think we would support that. I think that's why we've been backing away slightly over the last year.
Sandy J. Sheldon: And then Olivia just to your question on the current quarter we increased A&P behind Sun Care in North America and Sun Care predominately in Latin America. And in terms of how things reacted to that, we're certainly seeing ongoing growth and strengthen our Sun Care business in Latin America and we're continuing to invest behind that momentum. In terms of Fem Care, the increase was really behind new copy and advertising behind our Carefree liners business. And we are seeing pretty healthy share in our Carefree business and some share increase. Obviously it's an equity program, it's longer term in nature, started last year and it’ll continue. We'll continue to use it to improve our brand equity on carefree.
Chris Gough: Thank you, Olivia. Operator, next question please.
Operator: Our next question comes from Bill Schmitz with Deutsche Bank. Please go ahead.
William Schmitz: Hi, good morning.
David P. Hatfield: Good morning
William Schmitz: Hey, can you guys just talk to me, I missed this, I apologize, I also jumped on a little late, but can you just talk about the savings you have year-to-date for the full year, it looks like it's almost $0.50 of earnings from the two savings buckets, so kind of where that savings is going? And then when you lapped that branded switch from branded to private-label at Wal-Mart? And then lastly, and I'm sorry for the long-winded question, how do you view the sort of like strategic outlook for the Fem Care business, have you ever considered doing something more strategic, maybe looking at options, so kind of like, how the brands fit in the portfolio and like what would make you change your mind on the business, to invest in or maybe find a better owner for it? Thanks.
David P. Hatfield: Sandy, would you take the first and then I’ll take the…
Sandy J. Sheldon: Yes, so the restructuring savings in the quarter were around 4, I will say rounds up to about 5 million in the quarter. And that is really spread between Fem Care, Wet Shave, and Sun Care. So Fem Care is about half of that and then Shave and Sun Care about the rest of it. We are really not at this point talking about our ZBS savings. Again it's really back half loaded to the extent we did have some that came through in the quarter it was really helping offset some other investment spending predominately behind the ZBS project?
David P. Hatfield: And then the switch from the opening price point brand to private label, this is the last quarter that we will have to talk about that. It should run its course now. On your Fem Care question, we look at and the Board looks at our portfolio on a regular basis. So I really don't want to speculate any further about that. What I will say is that we've been disappointed with the launch of the sport pads and the liners effort. And we're going to need to work over the remainder of this year going into 2018 to stabilize the top line in this business and we're going to focus on that category management, innovation, and marketing fundamentals. For example we were launching Playtex sport compact tampons, the smallest compact tampon in the market and supporting it with 360 marketing programs against trial and awareness. And as Sandy mentioned we’re continuing into the second year of the Carefree liners re-launch with new positioning, packaging, and a copy. So, the goal is really to stabilize top line while we grow profitability through the plant consolidation project that we've been talking about as well as other continuous improvement programs. So that's really how we're walking forward.
Chris Gough: Thank you, Bill. Operator, next question please.
Operator: Our next question comes from Stephen Powers with UBS. Please go ahead.
Stephen Powers: Great, thank you. Just going back, Sandy to the ZBS savings cadence that you had talked about, just the backend-loaded nature of it. I guess the question really is, how much of that was always in the plan versus perhaps a delay, I just wanted to clarify that? And secondly, as you do press a bit more on actually pulling through those savings, I was hoping you just talk about what precautions you are taking to make sure you don't inadvertently impact execution in the market? Thanks.
Sandy J. Sheldon: Right, so we did have some of the ZBS savings in our outlook and in our plan. I think as we work through the final value identification over the last couple months we have seen some upside on those savings numbers that can help us in the -- both this year and next year. We're not really talking about those right now in a lot of detail because we're still trying to work on what those implementation plans look like. But we have -- we're pretty optimistic about being able to deliver savings and improve savings really versus our original plan. What was your second question again I am sorry.
Stephen Powers: Well, just following up on that point, but the plan was always to have more of those ZBS savings flow through in the second half versus the first half and then I think you just -- and now you are saying there may be upside to the original plan, as well?
Sandy J. Sheldon: Yeah.
Stephen Powers: Okay, great. And then my second question is more strategically broadly, just how your governance model is internally to make sure that as you flow through those savings you don't negatively impact demand?
David P. Hatfield: I will jump in there to offer two thoughts and then if Sandy wants to add anything else. One is from a governance point of view, this will actually be a matrix so the -- we have added tension to get the cost because we have category cost owners, we will be pushing for cost reduction. But the other matrix remains business owners. They have to do it and are really focused against top line growth and a profit growth. So we are building a little tension into the process but the goals, the outlook in an attempt to grow the business remains. So that's one point. And when we targeted savings rates we made sure we put the bulk of the burden against non-customer facing, non-consumer facing cost buckets and I think that was very deliberate and I think that we've been pretty true to that.
Stephen Powers: Okay, great. Thank you very much.
Chris Gough: Thank you, Steve. Operator, next question please.
Operator: We have no further questions and this concludes our question-and-answer session. I would now like to turn the conference back over to David Hatfield for any closing remarks.
David P. Hatfield: Well, thank you everyone for your time and your interest in Edgewell. Have a nice day.
Operator: The conference has now been concluded. Thank you for attending today's presentation. You may now disconnect.